Operator: Thank you for standing by, and welcome to the Northern Star June 2025 Quarterly Results. [Operator Instructions] I would now like to hand the conference over to Mr. Stuart Tonkin, Managing Director and CEO. Please go ahead.
Stuart Tonkin: Good morning, and thank you for joining us today. With me on the call is Chief Financial Officer, Ryan Gurner; and our Chief Operating Officer, Simon Jessop. As we confirmed this morning, for the June quarter, we sold 444,000 ounces of gold at an all-in sustaining cost of AUD 2,197 per ounce. This enabled us to meet our revised production and cost guidance with FY '25 delivering 1.634 million ounces at AUD 2,163 per ounce all-in sustaining cost. I'm very proud of the team for safely delivering a record in terms of gold sold for the full year, which has driven record annual underlying free cash flow. I also want to acknowledge that it's been a challenging 12-month period as we have faced productivity and cost headwinds, particularly at KCGM, our largest asset. This led us to confirm that we will not reach our ambitious 2 million-ounce per annum group target in FY '26. And primarily because KCGM is not yet able to deliver the 650,000 ounce a year run rate. But let me emphasize, with the mine life exceeding 20 years KCGM remains a cornerstone of our medium- and long-term value proposition. And this is why we continue to invest in the potential of this asset which, in turn, will drive a positive step change in free cash flow generation for the company for many years to come. Notwithstanding the challenges of the past year, record gold sold combined with an elevated gold price, resulted in the generation of strong net mine cash flow of AUD 1.189 billion for the year. All 3 production centers contributed positive net mine cash flow with Yandal and Pogo delivering record cash flows for FY '25. Our investment-grade balance sheet remains strong and in a net cash position, and I'm pleased that we were able to complete our on-market share buyback, which has delivered significant returns for our shareholders at an average price of just over $11 per share. Meanwhile, our KCGM mill expansion project is well advanced and tracking to plan, and this has allowed the company to formally revise its hedging policy with a decision to wind down our hedge book because of our confidence in our outlook and our balance sheet. I also would like to mention the successful acquisition of De Grey during the quarter. Since then, we have welcomed the team into our group and continue to advance the Hemi development project. Now let me touch on FY '26 guidance that we released to the market earlier this month. The company is forecast to deliver 1.7 million to 1.85 million ounces, gold sold at an all-in sustaining cost of AUD 2,300 to AUD 2,700 an ounce. We continue to advance major growth projects to achieve our goal of being a long-life, high-margin returns-focused global gold producer. Our CFO, Ryan Gurner, will elaborate on the increase in spend across our business shortly. But first, I'd now like to hand over to Simon Jessop, our Chief Operating Officer, to discuss our operational highlights.
Simon Jessop: Thank you, Stu, and good morning. As Stu mentioned, FY '25 has been a busy but challenging year. Safely improving productivity remains our key focus across all 3 of our production centers. Pleasing leans, Pogo delivered a strong June quarter to exceed the full year guidance. At Yandal, the June quarter was also strong to enable us to meet guidance. The Kalgoorlie production center proved more challenging and missed guidance because of KCGM mining efficiency was below expectations and access to the high-grade Golden Pike North area was delayed. At Kalgoorlie, total gold sold for the year was 832,000 ounces, which included 419,000 ounces at KCGM. In the June quarter, KCGM delivered 118,000 ounces gold sold. During the quarter, open pit mine grades was impacted by ore source variation despite an increase in Golden Pike North contribution. Total open pit material movement was 22.7 million tonnes, up 48% compared to the March quarter. As productive mining commenced restoring to business as usual. Total material movement for FY '25 was 74 million tonne versus a planned of 80 million to 90 million tonnes. June quarter underground ore mined volumes were 871,000 tonnes, up 78% compared to the March quarter, with mine grades also increasing. Northern Star Mining Services, NSMS, increased development meters to 7.5 kilometers for the quarter and commenced development at the newly established Drysdale portal. KCGM milled grades were lower than planned due to open pit ore sourcing. What really excited the team during the quarter was the commencement of the new Drysdale portal. Drysdale is 400 meters below the surface and allows for future drilling and a lower linked drive to the Fimiston underground work area. This platform will commence the journey of delineating the many mineralized systems at depth and is exciting for KCGM's long-term growth. Looking ahead to FY '26, KCGM is forecasted to deliver 550,000 to 600,000 ounces. Underground mine volumes are planned to be around 3 million tonnes, while open pit mining productivity is forecast to increase throughout the year as mining in Golden Pike North returns to 1 mining horizon of the second half of FY '26. Milled grades are expected to stabilize in the September quarter and then left for the remainder of the year. Just briefly, Stu touched on the KCGM mill expansion project, which remains on track. We remain very pleased with the on-ground construction activities as the project advanced to structural and mechanical installation. Let me finish off with the Kalgoorlie Production Center by highlighting that Carosue Dam and Kalgoorlie operations generated net mine cash flow of $657 million for FY '25, a fantastic performance. Turning to our Yandal production center. The highlight for the quarter, in fact, the year was the milling performance at both Jundee and Thunderbox. This enabled Yandal to meet FY '25 guidance, although as we experienced across our entire portfolio, the cost environment remains challenging. At Jundee, record mill tonnes were achieved to deliver an annualized run rate of 3.4 million tonnes per annum above nameplate capacity. Griffin continued to ramp up with the transition into stoping planned in the second half of FY '26. Pleasingly, development advanced increased to a new record of 8.5 kilometers for the quarter. At Thunderbox, strong mill performance achieved a record 6.3 million tonne per annum run rate during the quarter, bringing total of FY '25 mill throughput to nameplate at 6 million tonnes. The Wonder underground mine continued to increase volumes as development with one jumbo averaged 603 meters per month for the quarter. At Bannockburn, the team continued to ramp up open pit activities in preparation for the first ore feed in second half of FY '26. Finally, turning our attention to Pogo. Pogo has had an excellent quarter to finish off an excellent year, especially H2. For the quarter, the Pogo mill delivered a record performance on multiple fronts: monthly throughput, quarterly throughput, availability and utilization, operating at an annualized run rate of 1.6 million tonnes per annum. Higher grades and increased recovery also contributed to Pogo delivering 85,000 ounces of gold sold at USD 1,154 an ounce. During the quarter, the development lifted 12% quarter-on-quarter to an average of 1,650 meters per month. Late in the quarter, we started work on 2 new portals to access and develop Central Veins and Goodpaster deposits. The resource for these areas is 5 million tonnes at 10 grams for 1.5 million ounces with only 50,000 ounces in reserve and hence, this is a critical long-term strategic development. The mill also achieved a new quarterly record of 395,000 tonnes of throughput as the availability was 97% for the quarter. It is worth noting that for the full FY '25, Pogo sold 283,000 ounces and generated AUD 463 million of net mine cash flow. In U.S. dollar terms, this corresponds to USD 301 million, which is greater than the $260 million purchase price paid for back in 2018. Let me finish by reiterating group guidance -- production guidance we provided to the market earlier this month. We guided FY '26 gold sold to be in the range of 1.7 million to 1.85 million ounces, including September quarter production of approximately 400,000 ounces at the high end of the all-in sustaining cost guidance range. As planned mill shutdowns will be carried out across all 3 production centers this quarter. The June quarter is forecast to be the strongest for the year due to access to increased volumes of high-grade ore sources as they become available. I would now like to pass over to Ryan, our Chief Financial Officer, to discuss the financials.
Ryan Gurner: Thanks, Simon, and good morning, everyone. As demonstrated in today's results, the company is in a great financial position as we enter FY '26. Our balance sheet remains strong with cash and bullion of $1.9 billion, and we remain in a net cash position of $1 billion at 30 June. This includes the $663 million of cash acquired following the acquisition of De Grey. The company has generated record full year cash earnings. We expect the final figure to be in the range of $2.8 billion to $2.95 billion. A reminder that our dividend policy is based on 20% to 30% of cash earnings. Importantly, as Stu has already mentioned, all production centers delivered strong net mine cash flows, which totaled $1.2 billion year. As Simon mentioned, Pogo stand out delivering a record contribution. The company continues to deliver on its key growth projects across the portfolio. Growth capital was $40 million above the full year group forecast of $1.63 billion. The additional spend related to $21 million for previously committed long lead time items and project development progress at Hemi, and $22 million at the KCGM mill expansion, which remains on budget. The company's committed hedge position at 30 June is 1.4 million ounces at an average price of $3,286 per ounce, with no further commitments added during the quarter. Let me touch on the company's cash, bullion and investment movements for the quarter. The company recorded $922 million of operating cash flow which included $37 million advancing the Hemi project, which included the $21 million I referenced earlier and $18 million in corporate tax payments. Quarterly free cash generation was $211 million, bringing the full year underlying free cash flow to $536 million. Now turning to our FY '27 outlook. As Stu mentioned, we expect to deliver 1.7 million to 1.5 million ounces at an all-in sustaining cost of AUD 2,300 to AUD 2,700 per ounce. We forecast cost per ounce to improve throughout the year. The higher cost base in FY '26 reflects inflationary pressures of 5%, corresponding to a year-on-year increase of approximately $100 per ounce. Higher gold price related royalties and Pogo tariff assumptions have also contributed. Sustaining capital of AUD 750 million, corresponding to $420 per ounce or on a year-on-year increase of $130 per ounce, primarily from higher development advance and associated underground ventilation, power and pumping infrastructure investment across underground operations; processing plant capital across all facilities to underpin asset availability and reliability; additional lease payments for open pit fleet at Yandal and KCGM, underground fleet at Pogo and midlife rebuilds of the haul truck fleet at KCGM; and allocation of mine operating and development costs, including deferred stripping to all-in sustaining costs for assets expected to reach commercial production during the year. These included Griffin underground at Jundee, Wonder underground at TBO, United Consoles at Fim Underground and Bannockburn and Orelia open pit operations at Yandal. FY '26 operational growth capital, excluding the mill expansion project, operational readiness and Hemi development is guided at a midpoint of $1.17 billion. At the Kalgoorlie production hub, the majority of the investment is allocated to projects will deliver the mill feed and the infrastructure for the KCGM plant expansion. These projects include development and ramp-up of Mount Charlotte and Fimiston Underground mines and infrastructure requirements and continuation of the Fimiston South cutback. At Yandal, investment primarily relates to Thunderbox open pit development, infrastructure and required equipment for Bannockburn and the Orelia Stage 2 cutback. These 2 operations underpin future mill feed to Thunderbox. And at Pogo, USD 70 million to USD 80 million for underground development and infrastructure associated with the increasing mining volumes along with accessing new areas, as Simon mentioned, and further mill optimization works focusing on throughput and recovery. Growth capital expenditure guidance for the mill expansion project remains unchanged at $500 million to $530 million. KCGM Mill operational readiness capital of $315 million to $370 million includes spend for new tailings and a new central power plant and transmission infrastructure. Capital for the additional tailings capacity was included in KCGM's base case life of asset plan and included in the returns assessment of the expansion project. This capital has been brought forward to cater for the increased throughput rate from the expanded mill from FY '27. At our Hemi development project, we are guiding $140 million to $150 million spend, which includes ongoing engineering and design as well as commitments for long lead time items. And our FY '25 exploration program is guided at $225 million. Importantly, with the company's strong liquidity position of $3.4 billion at 30 June, our capital investment and exploration activity is fully funded. I'll now pass back to the moderator for the Q&A session.
Operator: [Operator Instructions] Your first question comes from Kate McCutcheon with Citi.
Kate McCutcheon: Good to see KCGM underground above 3 million tonnes. So I guess we've had sell-side expectations for CapEx for FY '26 missed the mark, like $1 billion a year ago, close to $3 billion today, and attach to that is Hemi, which is new. So I guess, moving forward, can we expect some guide rails in terms of the CapEx band for a few years ex Hemi? Or what are the key things to think about in terms of dragging right or not on CapEx for the medium term, both that 400 ounces sustaining and growth capital?
Stuart Tonkin: Yes. Thanks, Kate. Yes, I appreciate that, that has definitely been an uplift to what's been included in consensus. But I think if we kind of break it down into whether it's price or activity, there were some activities there that really need to be captured and understood. So the tailings facility is a big chunky piece at KCGM. I appreciate that if the mill expands, we need to bring that capital forward. So it was in the life asset plan, but it's bringing that capital forward. And we've guided what the saddle of that expenditure is this year and next year. Other items that may not have been picked up and we hadn't guided a year ago, things around the thermal power station and the transmission lines and the readiness for the renewable power projects in Kalgoorlie is $80-odd million this year and then flows into $70 million in the next year. Those are items that we had forecast and predicted. But I can assure people that with a multi-decade project, these are a very strong return capital investments to ensure that we have power security, we have lowest cost of power availability and we're not held to the grid, held to ransom and Jundee is a great example where we've got lowest cost energy across the group because of that investment earlier. Other big items, obviously, the continuation of the Fimiston mill this year, but that hasn't changed. That $500-plus million and then a tail of $100 million in FY '27. That's the same on track number for the FID for that growth project. And then the mining volumes are probably one of the things that's lifted a bit and it's on you get something for the money, it's not just a price escalation. It's the underground mining volumes at Fimiston and KCGM because of -- the 3 million tonnes is the production number, but there's still a significant amount of development. You see in the quarter, 7.5 kilometers, we're seeking to keep lifting that development lead indicator to build and expose big tonnes per vertical meter there for future production. So this is something where we'll work hard to get that development done, which will translate into capital expenditure. So there are some of those lumpy things. I'll throw it to Ryan on some of the other capital items, but the sustaining capital as well is something which we feel has lifted up, but there's still an approach that is not a final 1-year investment. There is multiyear benefit from some of that uplift in the sustaining cost at the moment.
Ryan Gurner: Yes. Just to add, Kate, look, just to call one out. I mean, the midlife truck rebuilds at KCGM. So there's $20 million just there on some of those trucks. So that's one item just to pull out that, yes, we're spending it this year, but they're 5-year effectively investment cycles on those types of trucks. So we are incurring it this year in sustaining capital, we won't see that next year. Look, we are spending a bit of money on plant in terms of capital that I think we will have to spend in the next few years. So we're doing tank relines. We're doing refurbishments. We're doing some steel remediation on some of the -- we've got aging infrastructure. It's one reason why Fim expansion as well and that plant is going to be very beneficial for the company is that its capital requirements from the processing plant structure is going to be much less. And then as Stu mentioned, the underground infrastructure piece, we are having to put a bit in there this year, again, particularly around KCGM. Just to that multiple years investment around primary fans and infrastructure and things like that. It will still have a requirement going forward, but it's a bit heavier this year. So I do expect some fall away on some of these items going forward from a sustaining perspective.
Kate McCutcheon: Okay. But there's no plans to sort of give the market some medium-term guide rails?
Stuart Tonkin: It's very difficult, as we've shown, to predict and show what. We can tell you the projects. We can tell you what's approved and the actual commitments that are out there tended locked, which is what we've done. And we've shown the tail of some of those projects, which are multiyear projects. But rounding up and giving multiyear guidance, we've not done that previously, and we don't intend to do that today.
Kate McCutcheon: Okay. Got it. And we didn't get that new outlook to FY '29 today, sorry, I'm sticking on the guidance phase. Is that pending Hemi or will that come with a Super Pit site visit? I guess I'm looking to understand the business after next year?
Stuart Tonkin: Yes. So look, with the Kalgoorlie site visit, we'll give some more color on both on progress on Hemi, but Hemi is still pre-approval. So the timing, we can tell you what it looks like in space, but ultimately, when this commencement is at our control on the hinge to approvals date. But overall, we'll give you the view of what the assets are doing at the Kalgoorlie site visit.
Kate McCutcheon: Okay. That would be great. And then finally, just removal of the hedging policy, that's great. Is it fair to assume that Hemi will be funded without any new hedging?
Stuart Tonkin: Yes. So to be clear on what that is, is we've just brought the minimum -- we've taken away a minimum hedging commitment, which was important to us whilst we were giving capital -- long-life capital projects investment. So basically taking that floor away. In the last 3 quarters, we've added no hedges and that's been the attitude because we've got confidence in the outlook on our balance sheet. So the policy is basically removing the minimum and allowing us to essentially unwind and deliver into the current hedge book. So we're not accelerating it. We're not delivering early. We're just not adding to it. And the attitude, you just asked about Hemi, the attitude would be we've got well capacity to deal with that within our current balance sheet without looking at hedges.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: And congrats on a record free cash flow for '25. I just want to pick up on Kate's question around the CapEx piece and sort of looking at what that ongoing spend is. If we try to break out what that ongoing cash cost versus all-in sustaining costs, are you able to give us a bit more color in terms of that $750 million for FY '26. What the rough breakdown is between the production centers?
Ryan Gurner: They're probably all sort of going -- Hugo, it's Ryan. They're probably all increasing at similar, I'll say, rates. I guess, Kalgoorlie is probably lifting -- this is Kalgoorlie's operations probably lifting $100 an ounce. Yandal's $150 to $170, and then Pogo is probably lifting USD 70 an ounce that's probably the ranges, Hugo.
Stuart Tonkin: I'd say to the point saying it's a bit of a wave of investment. So we've moved from, say, $280 an ounce to sort of $420-odd an ounce. So it's sort of hanging between 13% of all-in sustaining cost of sustaining capital to up to sort of 17%. Now a midpoint there is probably the happy place, and it will go in cycles. Some of that fleet last 3 years, the ground stuff, some of it is 5 years for the open pit stuff, big investments like capital, vent, power at Fimiston at one-offs. So it's about saving and going between those bands throughout the year, the sustaining capital number on a per ounce basis, may sit around about that 15% of all-in sustaining costs. So that's probably how it relates through to the dollar millions. So that $700 million plus this year is probably a bit of a peak.
Hugo Nicolaci: Great. Got it. And then sort of also picking up on the other point, when do you expect to be in a position to give that medium-term outlook to market? I think historically, you've talked to later this year. Do you need to get more certainty around the timing of Hemi before you can give that update and feel comfortable there? Or can you give a portfolio outlook on an ex-Hemi basis and maybe give the market something a bit earlier?
Stuart Tonkin: Look, the Kalgoorlie site visit we'll provide as much as we can on visibility of these assets. I think we're just in the tail end of that 5-year strategy that's stabilized Pogo, it stabilized Yandal. You've still got that last step change piece at KCGM with the mill expansion. And then the sliding piece is the introduction of Hemi. So it's quite a simplified look-forward business. So we'll try to show what that looks like. But if you're asking us for a decade, CapEx and production outlook, we just never going to give it out in that regard because it's a moving beast.
Hugo Nicolaci: Yes. No, understood. And then on Hemi just in the press this week around appeals on native title and water discharge concerns. No doubt that probably would have come up in your DD. What got you comfort there in terms of water or alternative water treatment options? And how much work is left to go to either study those or recast? And just sort of any comments on how those discussions are progressing?
Stuart Tonkin: Thanks, Hugo. The question, the second one, I thought I was expecting that from the media. A couple of clarities. One, it was misreported that the EPA had approved Hemi. So starting with that, all the EPA has done is put out for public comment, the appeals window. So let's sort of stick to the process that is there and that attracts the appeals. We are very aligned with the thinking of all stakeholders up there, and there are lots of options. So yes, we don't see anything different to what we've done through the due diligence and just basically, we'll continue to look at those options going forward. So, yes, what's being reported is to sell papers, not to deal with facts at the moment.
Operator: Your next question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: Stu and Ryan, just on the Super Pit, it's fair to say FY '25 physicals were below plan. But just looking at the June numbers, looks like a big lift in underground ore mining, open pit material movements. Can you just expand a bit more on rectifications to the plan and whether these early wins look like they're sustainable?
Stuart Tonkin: Yes. Thanks, Dan. I'll let Simon just go through because there's some huge highlights in the quarter that show confidence of why we set the plan forward. So I'll turn it to Simon.
Simon Jessop: Yes. Thanks, Daniel, Simon here. So in terms of the step change in the underground, we've been building with the development for that for a while. So the Fimiston underground itself delivered nearly 200,000 tonnes in the quarter. So that was the step change as it moves into the stoping side of mining there. So saw a step change in Fimiston, which will be sustainable and ongoing and continue to lift as we go forward. And then also at Mount Charlotte, just bigger bulk stopes starting to come through. So really, really pleased with the step change we've seen in the underground. We knew that was coming, probably a little bit later than we wanted in FY '25, but you can't unsee that number now, 870,000 tonnes, great step change. It will continue to build with the development as a lead indicator, you'll see that build out as we go forward. But underground's in grade really going forward. In terms of the open pit, 22.7 million tonnes for the quarter. That's back where we need to be. And we've also seen with that extra volume, about a 37% reduction in the cost per BCM. So going really well in terms of the open pit volumes coming up and those costs starting to come down. So going forward, really comfortable in that 80 million to 90 million tonnes.
Daniel Morgan: And just a couple of clarifications on that. When you were saying Fimiston did 200,000 tonnes underground in the quarter, you're just defining the area that's not Mount Charlotte, I presume? And then just a clarification on the open pit material movements. I imagine in the quarter, you were more near the top of the pit, and so you got different -- you've got shorter shuttle distances and whatnot, whereas later in the year, you're planning to be in Golden Pike where you're deep in the pit. Just wondering if you could talk about sustainability once you have to go down to the bottom of the pit?
Simon Jessop: Yes. Good question. The Fimiston side of the business has just seen that step change in the stoping. So no issues in going forward with that. In terms of the open pit, yes, the haul distance gets a bit longer, but we've already started moving that. So we've got all the equipment, all the gears, it's really just simple mining versus what we're dealing with in FY '25, which was dealing with a lot of big rocks in the east wall. That's all behind us now. So we're just seeing the productivities lift overall.
Daniel Morgan: And the plant at the Super Pit. I know it's denoted often as a 13 million tonne plant per annum. Did 11.8 million tonnes, I think, in the year. So there's some -- is it -- what's the confidence of the throughput before you turn on the big mill expansion?
Stuart Tonkin: Yes. We've factored it at 12 million this year, Dan, for that reason. So there's this sort of balance. Simon and Steve and myself will be looking closely at. We're about to turn on a new plant in 12 months, how much maintenance investment in an old plant or limp it along. So there's a bit of a balance there. We've allowed a buffer. So we're not sweating that plant to get 13 million tonnes per annum this year. So we've come back to the 12 million, allowing for some of that breakdown and some of that proactive sort of -- reactive maintenance because of the age of it. And this is that balance for not spending capital on something that you're not going to get the benefit from in future years with the new mill switchover. It's something that will be used in concert with the new plant, Absolutely, we'll invest, but it's this bit of a balance where we wanted to run confidently up until the day we switch over and then be done.
Operator: Your next question comes from Matthew Frydman with MST Financial.
Matthew Frydman: A couple of questions from me. Firstly, can I just continue the thread of the prior questions on the medium-term outlook and your CapEx guidance. And you talked about the thermal power station and tailings dam at KCGM. Obviously, reasonably material items, which were likely already in your capital works plan for the year and really arguably part of the total budget and the economics for the mill expansion, but obviously hadn't really been clearly spelled out to the market. So again, just picking up on some of those prior comments. Do you think differently maybe about how you approach some of the more forward-looking outlook on those sorts of items? And then particularly as you come to building Hemi or maybe other major projects, I mean, I know you said it's not going to be practical to give a 10-year outlook for the business as a whole. But certainly, I think from a market perspective, probably something we're considering if those sorts of capital works are already kind of in the budget?
Stuart Tonkin: Yes. I appreciate that. Look, the $1.5 billion mill expansion, we were very clear on the boundaries and ring-fence of what that was, and we're very clear that it did not include the tailings facility and the tailings facility is related to the total tonnes of the life asset but the relativity is it's got to be established and built earlier so that your mill throughput can pick it up, right? So it was -- the economics and the returns were based on that stockpile going through the expanded plant and they are still true and robust. There's nothing missing from any of those articulated returns metrics. But yes, the visibility of multiyears to get these things done, I appreciate we still had the Section 38 approvals for that extra footprint for the advancement and all those things. So they're all in train to be approved and put there. But our ability to either get hard tendered numbers, internal, external contractors or owner-operator activities, all the pricing around all that. Two years ago, we were not in a position to give forecast on capital, hard capital numbers or if we had, they'd be different today. So I think I appreciate that we're -- I'd rather give you no numbers than wrong numbers. We give you the foresight of what type of activities or what projects are in front of us. And so when we talk about near term, you're asking for multiyear detailed capital and sustaining cost guidance and we're giving you the elements of the big projects that are being approved and being budgeted. But as far as the stitch up together, we can give our waiving guidance to production outlook. But you look where we are 5 years on, 2 million-ounce target, which is still a project where the company assets can deliver. However, FY '26, when we projected this 5-year plan to get there. We're not there. And you can see the impact that the markets had on us because we haven't delivered to the decimal point. However, all those projects and the viability and the returns of them are still very significant, very important and still in train. And so we're a bit gun shy of really giving granularity that then we get held to why isn't it that number. So it's a bit of a balance here, we're going to try and tell you as much as we can tell you to what we're looking at working on but give us a bit of grace to say, look, there's still some hard numbers. No doubt to Hemi. Hemi's CapEx numbers are stale. So once we get that refreshed and renewed and we know when the approvals are, we will be able to articulate what those numbers are with confidence. But right now, we're stuck on the DFS plan and numbers that are out there.
Matthew Frydman: Yes, I understand. Thanks for the additional commentary there. I mean, we're all pretty simple beasts as analyst or at least I am. So anything you can spell out for us obviously is quite helpful in terms of the medium-term outlook. So I appreciate that. Maybe secondly, on capital management and shareholder returns. I mean, I think probably sound like a bit of a broken record on these quarterly calls at the moment. But as you alluded to there, your share price performance has disappointed relative to the peer group and gold price. You've picked up arguably a bit of excess cash with the De Grey acquisition, now sitting at $1.9 billion cash and bullion. If I do the math on your dividend policy in the second half, you're probably only likely to return up to maybe $500 million of that with the final dividend. So can you comment on the attractiveness of potentially a new buyback program in FY '26? And how do you think about weighing that up as in weighing up a new buyback against maybe closing out some of the out-of-the-money hedges given your revision to the hedging policy?
Stuart Tonkin: Yes. Good. I'll work in reverse, there's really no benefit in closing out hedges. It's far many -- far more better returns investments for that one. And it's really -- I know it's a big overall number, but relative to our business and relative to the unhedged ounces, we've got really good exposure and leverage to gold price. So the hedge one is a lower priority, but you're seeing that our commitments are to not add hedges and not compounded. Then you come back to all of the organic projects that we're investing in have very strong returns, and they are taking the priority. We were very pleased with $300 million buyback that we got in at $11, and we see that as a valuable tool in capital management. And I think the board in time will assess the opportunity to do that again. But at the moment, looking at surplus cash flow we see the greatest returns in order and ranking back into these organic projects that we are there. It doesn't mean a buyback is not compelling when we're at a discount to NAV. But the returns out of these organic investments are significant. So we want to make sure that we complete those in good order.
Operator: Our next question comes from Al Harvey with JPMorgan.
Alistair Harvey: Apologies to look back at some of the guidance and outlook you put in some of your early presentations. But I guess just in the context of the sustaining CapEx discussion at KCGM and cost more broadly. Do you think -- I think the target in there was for the project to do about $1,425 an ounce all-in sustaining costs once you reach that 900,000 ounces per annum steady state rate. So is that still achievable? And might we get a little bit of an update on that at the site that's coming up?
Stuart Tonkin: Yes. Good. Thanks, Al. Look, it's a stale number. And what we're really looking at is the overall step change improvement to the cost base once that new mill comes in and the savings on the cost per tonne for that new expanded efficient plant plus all the other good stuff Simon's got in hand with productivity gains and improvements in growth in the underground. So yes, hard again to circle right back to a firm number, but why that number was relevant was when we costed up the FID for that $1.5 billion investment, we protested it at AUD 2,700 an ounce. We've got a pretty solid IRR with a significant 200,000 plus, 250,000 ounce uplift for a $250 reduction in AISC. All these things were relative to the decision at the time, including the hedges. Right now, as we know, all of those numbers have moved. But directionally, this is the investment and the improvement on the overall operating cost of that asset, which will be half our business is still very compelling. And I think it's on a percentage basis, will surpass the investment case on the day. So yes, that $1,425 is perhaps a stale number, albeit this asset will be a top 5 global gold mine, and it will be setting inside the third lowest quartile global cost curve, and that's been the investment case. So relative it will generate as much cash flow as anything globally. And so that's been the continuation of the remit of what we've been trying to achieve out of that building.
Alistair Harvey: And maybe just one on the Yandal Hub, I think 5-year plan. You did know that it has stabilized there, but probably at a bit lower level, I think you've been targeting about that Hub to do about 600,000 ounces per annum longer term. So I think you kind of alluded to it, maybe it's just a timing issue. But how do we think about the time frame that we might end up getting there to that 600,000 ounce per annum, right?
Stuart Tonkin: Yes. Look, that's one -- and I look at Thunderbox particularly, that's one that we're jury is out on, and we're road testing its capacity to do that [ 300,000 ] consistently. We've got the 6 million tonne per annum nameplate that Simon has demonstrated but really, this is a grade blend. And so what we tested and why we really didn't push hard to this total 2 million ounces in urgency is at what cost. When you start looking at some of the ounces we can grab and drag in perhaps you're changing cutoff grades, perhaps you're changing -- which in turn change space. We don't want to chase a number at any cost. We want to look at margins. We want to look at the happy place that these assets produce at. So well spotted, but that's something that I would retest what is the happy state for Yandal generally, which demonstrated what Jundee could consistently do. But the Thunderbox region, we want to make sure that we're not just trying to sweat it to get around number. We're getting the best overall margin and the best AISC that we can achieve out of that.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: I just wanted to round back on the power station CapEx. I mean obviously, it looks like an upfront CapEx hit near term, but we haven't really talked too much to the benefit you expect to extract out of that one. So maybe just with the reference, you mentioned Jundee and the power works there, what sort of operating cost savings you expect to get out of putting in new power infrastructure at Kalgoorlie?
Stuart Tonkin: Okay. So the -- to clarify what it is, we've obviously got the thermal, the joint venture with the thermal for the Parkeston Power Station presently, which is quite aged infrastructure, and we know the cost of that. We know the cost of the grid. And I'm not going to use commercial and confidence numbers, so I'm not going to be giving you a hard cents per kilowatt hour. But we've got the grid costs that we've got in front of us right now that we know. And then we look at absolute capacity that the site needs, and we're saying we would prefer to have renewables. We prefer to have the lowest cost thermal generation that we can have. So this investment at the moment is saying, "I could generate all the power from Parkeston and feed KCGM, the expanded case, but it would probably be some of the highest cost energy. And we cannot rely on the state grid. It cannot provide the power that we need in Kalgoorlie. So we've got to go alone here, and it will be the highest cost as well on staying on the grid. So what we're doing in the first instance is the thermal backing for new gas-fired power station, nearly 120 meg of power installed. It will underpin the baseload for a large renewables, wind, solar battery system, which in time will be through a PPA, through a third party likely. But this foundation investment is a joint venture with the thermal power station and all the connectivity distribution to KCGM to give us power security and give us confidence of price. So we know that we'll be some of the best pricing that we can ever achieve in Kalgoorlie and it will be probably on par with Jundee, but it still relates to the gas price we get to the gate there. So yes, I'm not going to give you hard commercial confidence numbers. But we've weighed up the -- our adage is we'll get the lowest cost that we can get out of the gold fields.
Hugo Nicolaci: Fantastic. And then just another one around the divestments piece you've historically talked to the potential to rationalize the portfolio. Any updates there in terms of timing or sort of high level what you're thinking of where those could come from?
Stuart Tonkin: Yes. I mean good question. Look, we -- the outlook is probably around who are the buyers and what are they prepared to front out because what we've guided for here, all the assets we have are all contributing. Simon and Ryan spoke about the cat contribution that each of these assets are doing. Nothing is holding us back. In fact, they're helping fund the growth. So unless we're paid, paid well for those assets, they're in the fold at the moment. You've seen some minor things like the Central Tanami project. We still love and believe in that ground and see that opportunity. But as far as the scale for Northern Star is probably not going to get there. But there's an example there where we can do small divestments to, say, simplify but put it in the right hands of people that can advance the project. But on the other side, is we're not here running processes and putting things out for shop. We're investing in our projects, and they're contributing well.
Operator: [Operator Instructions] Your next question comes from Levi Spry with UBS.
Levi Spry: Maybe just rounding back to some of these questions. So on the CapEx, thanks for the extra lead on the sustaining piece. Just on this operational growth CapEx line. What percentage of that is a go-forward number, in my mind, a sustainable number, repeatable, whatever the terminology you want to use, particularly FY '29?
Ryan Gurner: FY '29, it's a long way out. Look, I think, look, at the end of the day, the majority of the -- if we just break it down by the majority of the spend is in relation to the growth of Mount Charlotte, Fim underground and then the cutback. So I would suggest and we've guided that $500 million to $550 million. That will likely continue for a few more years until we get some steady state, particularly in the underground. So that's going to be in the business for a few more years. And that, as you know, gives us that long-term feed source. Across the other assets, you've got Bannockburn and Orelia make up a large chunk of the sort of the Yandal growth. It's about $220 million, I think we've guided. Again, those 2 assets are coming into productive years, I'll say. So I'd probably say those -- that CapEx would drop there. But then there's other satellite pits opening up that then will take the place of those 2. So I probably see some drop off, small. But again, there'd be capital for other projects coming in for the open pit feed source there. And then across the assets else, there's sort of smaller targets and smaller projects that we're delivering. Might well be Hercules comes into the plan around the South Cal region to feed KCGM or KB as well in the years going out. Again, I can't give you a number of what that's going to be, but it's not going to be a large, large chunky bit of capital for that to come online.
Stuart Tonkin: Yes. The key thing is any capital investment growth projects, I mean, comes commensurate with the production growth. It's just the timing of the lag of when that actually comes in. So with investments that were previous years, you still haven't really seen a step-up in the production coming from that historic investment. And we're trying to align -- the CapEx this year is aligned with the growth this year. We don't see a lot of growth. It's coming in future years and any investment in capital going in '27, '28, '29 comes with further production growth after that. So to Ryan's point around, if you start a new underground or a new pit and do a cutback for $100 million, it will kick in extra ounces on the back of that, which will either fill a hole of a dip or it will add to the ounces of that operation. But the big structural CapEx events, Fimiston mill expansion is complete and falls away as its tailings facility is built for a decade. The Hemi is the big lump that's to come that then comes with commensurate 500,000 ounces years later. I think a view of Pogo, it's doing great. It's generating good U.S. dollars. What else can it do? So people say, how much CapEx is that? Well, what's the price and what's the payback and the investment? We'll do some thinking around that, that could occur before '29. But other things in or out, these are really just working and every ounce that lifts up, attracts that dollar per ounce sustaining capital. So it might be a case where some of this CapEx growth slides across and is called sustaining because it's attached to the ounces that are being maintained. So yes, we'll probably point to big lumpy projects to not scare people with the renewables Kalgoorlie. It's a big number, but it's likely to be outsourced to a third party and embedded in a lower operating cost through a PPA as opposed to Northern Star paying for that capital for that big renewables project. The capital at the moment with the thermal and we want control of the connectivity and the head end of the connection through to the grid as part of our owned infrastructure. So we're not, I guess, held ransom on that. That is like we have the power at the moment. We've got retail, wholesale generation in Kalgoorlie. We want to maintain some ownership of those things, that's why we're really to put that capital up. We could have outsourced that capital, given it to a third party but then we're paying rent on it forever.
Levi Spry: Yes. I appreciate the extra detail. And maybe just a second one around the KCGM ramp-up. So it looks like you've reiterated 900,000 ounces in '29 and the processing sort of throughput. So it's really just a question around the grade. Can you just remind me around the underground ramp-up? So the really good quarter you've just had 3 million tonnes now. I think previously, you've said 8 million tonnes at some point in time. Can we just help us sort of work out that profile of the grade that matches this throughput?
Stuart Tonkin: Yes, not today, Levi. I recon we'll give you that color at the Kalgoorlie site visit with the operation. But yes, what we've said is 3 million tonnes per annum from the underground this year, and we've showed a run rate above that for the quarter. So it gives people confidence in that.
Operator: So our next question comes from Mitch Ryan with Jefferies.
Mitch Ryan: Just want to dig into KCGM mill expansion CapEx a little bit. You sort of -- I know we're not talking about [ step stations ] in quantum, but CapEx spend for the year was $544 million versus guidance of $500 million to $530 million. It's only gone up a little, but then you've maintained the profile into '26 and '27? Can you talk to how much of that was just timing of capital spend versus how much was inflation? And do you see any risk at all to the upside on that capital number?
Ryan Gurner: Mitch, it's Ryan. Look, there was a couple of items that were expedited in that last couple of months, and there were some choices around doing some structural modulation of steel, which just meant that basically we had to upfront some of that cost. So nothing in relation to an overrun or inflation, it's all tracking as we plan right now.
Operator: There are no further questions at this time. I'll now hand back to Mr. Tonkin for closing remarks.
Stuart Tonkin: All right. Well, thank you very much for joining us on the call, and I appreciate your interest in our company and what is a very busy reporting day. And I look forward to catching up many of you at our annual visit to Kalgoorlie. So thanks, and have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.